Executives: Jeffery H. Boyd - Chief Executive Officer, President, Member of Group Management Board, Director, Chief Executive Officer of Lowestfare.com and Director of Lowestfare.com Daniel J. Finnegan - Chief Financial Officer, Chief Accounting Officer and Ex-Officio Member of Group Management Board
Analysts: A. Justin Post - BofA Merrill Lynch, Research Division Brian Patrick Fitzgerald - Jefferies & Company, Inc., Research Division Anthony J. DiClemente - Barclays Capital, Research Division Douglas Anmuth - JP Morgan Chase & Co, Research Division Michael Millman - Millman Research Associates Herman Leung - Susquehanna Financial Group, LLLP, Research Division Heath P. Terry - Goldman Sachs Group Inc., Research Division Brian Nowak - Nomura Securities Co. Ltd., Research Division Stephen Ju - Crédit Suisse AG, Research Division Ross Sandler - Deutsche Bank AG, Research Division Kevin Kopelman - Cowen and Company, LLC, Research Division Naved Khan - Jefferies & Company, Inc., Research Division Tracy B. Young - Evercore Partners Inc., Research Division
Operator: Welcome to the Priceline Group’s Third Quarter 2012 Conference Call. Priceline would like to remind everyone that this call may contain forward-looking statements, which are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are not guarantees of future performance and are subject to certain risks, uncertainties and assumptions that are difficult to predict. Therefore, actual results may differ materially from those expressed, implied or forecasted in any such forward-looking statements. Expressions of future goals and similar expressions reflecting something other than historical fact are intended to identify forward-looking statements. For a list of factors that could cause Priceline’s actual results to differ materially from those described in the forward-looking statements, please refer to the Safe Harbor statement at the end of Priceline’s earnings press release, as well as Priceline’s most recent filings with the Securities and Exchange Commission. Unless required by law, Priceline undertakes no obligation to update publicly any forward-looking statements whether as a result of new information, future events or otherwise. A copy of Priceline’s earnings press release, together with an accompanying financial and statistical supplement, is available in the Investor Relations section of Priceline’s website located at www.priceline.com. And now I'd like to introduce the Priceline Group's speakers for this afternoon: Jeffery Boyd and Daniel Finnegan. Go ahead, gentlemen.
Jeffery H. Boyd: Thank you, and welcome to Priceline's Third Quarter Conference Call. I'm here with Priceline's CFO, Dan Finnegan. I will make some opening remarks, and Dan will give a detailed financial review. After the prepared portion, we'll take questions. Priceline reported consolidated gross bookings for the third quarter of approximately $7.8 billion, up 25% year-over-year or about 34% on a local currency basis. Non-GAAP net income was $638 million or $12.40 per share, up 25% versus prior year. Third quarter results surpassed FactSet consensus estimates of $11.82 per share and our guidance for the quarter. Worldwide hotel room night reservations were $55.2 million for the quarter, up 36% year-over-year. Our international business recorded 41% gross bookings growth on a local currency basis, down from 44% in the second quarter. Hotel room night growth rates in the second half of the quarter were better than forecast, particularly in Europe, where generally our forecast for further significant deceleration proved conservative. Growth rates benefited from continued high growth rates in Asia-Pacific and the Americas. International gross bookings also benefited generally from growth in hotel supply and strong results at Rentalcars.com. Booking.com's platform now has over 245,000 hotels and other accommodations, up 44% over last year. Booking.com's growth has held up well despite the concentration of its business in European countries experiencing weak economic conditions. Absolute transaction in the local currency growth rates in Europe and non-euro markets maintained solid momentum during the quarter and we believe continued to gain market share. Agoda delivered another quarter of strong room night growth and continues building supply and distribution. Agoda is building scale in the fast-growing Asia-Pacific market as a destination and as a site where APAC customers can book hotels in other parts of the world. Priceline's domestic gross bookings grew 7% in third quarter, due primarily to growth in retail airline ticket and hotel room night gross bookings, aided by higher ticket prices and ADRs, as well as growth in domestic retail rental car reservations. Trailing 12-month gross bookings for priceline.com were $5 billion, an important milestone for the business. priceline.com has launched Express Deals and a number of exciting mobile services. Transactional business on its mobile services are growing rapidly, and continuous innovation is helping drive this momentum. Merchant gross bookings growth of 24% continues to reflect growth at Agoda and Rentalcars.com. Growth in rental car days increased sequentially from 29% to 35%, driven by improved results at priceline.com and strong growth at Rentalcars.com. The group's business performance exceeded expectations in the quarter, showing resilience in the face of weak economic conditions in major markets. We did see pressure on operating margins in the third quarter, though not to the degree forecast and expect that pressure to continue in Q4. This is driven primarily by investments in marketing and people, as we prioritize initiatives that drive growth even if those expenditures create pressure on operating leverage. The business continues to support this type of investment and the achievement of attractive operating margins. Our aim is to continue building our brands by investing in geographic expansion and supply, product and service innovation and customer acquisition. I want to finish with a final note about Hurricane Sandy, which has had a large impact on those of us in the northeast, including many of you on this call, and we thank you for participating when you may be dealing with power outages and damage to property. Our teams are working very hard with our suppliers to serve customers whose travel plans have been interrupted, and I thank them for their dedication. And we wish all those affected by the storm a speedy recovery. It is too early to quantify precisely the impact of the storm on our business. New York City, which is an important destination for Booking.com and priceline.com, will be substantially disrupted for many days with reduced bookings and high cancellations. Having said that, given that most of our business is for travel to international destinations, our best estimate at this time is that the negative effect of Hurricane Sandy would fall within the range of our guidance for the fourth quarter. I will now turn the call over to Dan for the detailed financial review.
Daniel J. Finnegan: Thank you, Jeff. I'll discuss some of the highlights in operating results and cash flows for the quarter, and then provide guidance for the fourth quarter of 2012. Growth rates mentioned in my remarks are in relation to the prior year comparable period, unless otherwise indicated. Our guidance forecast for Q3 was based upon actual results for Q2 and Q3 actual results through when we reported on August 7. Our room night growth rate had decelerated from 47% in Q1 to 39% in Q2. We have seen weaker transaction growth rates and ADR trends continue for certain Southern European countries. And we have seen evidence of these trends spreading to other markets, including the U.K. As a result, our forecast for Q3 assumed that macroeconomic conditions would deteriorate further throughout the quarter and that our unit growth rates would decelerate fairly significantly. We were pleasantly surprised to see conditions in Europe stabilize, at least for the time being. While softer demand and ADR trends continued in certain Southern European countries, our unit growth rate in the U.K. improved in Q3. Overall, hotel room nights booked grew by 36% in the third quarter, a modest deceleration compared to the 39% growth rate achieved in Q2. This strong performance for our worldwide hotel reservation business drove Q3 gross bookings growth of 25%, or 34% on a local currency basis. Average daily rates, or ADRs, were down on a local currency basis by approximately 1% for our international hotel service and were up by about 5% for our U.S. hotel service for Q3 2012, in both cases, slightly better than our guidance assumptions. FX rates for the third quarter for the euro and the British pound versus the U.S. dollar are unfavorable compared to the prior year by about 12% and 2%, respectively and in both cases, are slightly favorable to the rates we assumed in our guidance. As a result, currency exchange rates significantly depressed our year-over-year growth rates expressed in U.S. dollars for gross bookings, revenue, gross profit, adjusted EBITDA and net income. In summary, solid unit growth rates, combined with modest favorability to our guidance assumptions for ADRs and FX rates, drove actual operating results that exceeded the top end of our guidance range in all key operating metrics. Our Q3 international gross bookings grew by 30%, and by 41% on a local currency basis. Rental car days booked were up by 35%, accelerating compared to the Q2 growth rate of 29%. The performance was driven by continued strong growth for our Rentalcars.com business, as well as improved performance for our Priceline U.S. rental car business. Gross bookings grew by 7% for our priceline.com brand business in the U.S. Strong growth in retail hotel room, airline ticket and rental car reservations, together with higher ADRs and air ticket prices, were key drivers in year-over-year growth. However, each of our Name Your Own Price services posted year-over-year decreases in gross bookings and revenues as a result of the continued pressure from competitive discount hotel initiatives and limited availability to discounted rates for airline tickets and rental car days. Gross profit for the quarter was $1.4 billion and grew 27% as compared to prior year. Our international operations generated gross profit of $1.2 billion, which constituted an increase of 31% as compared to the prior year and an increase of 42% on a local currency basis. Gross profit for our U.S. business amounted to $152 million, which represented 3% growth versus prior year. The delta between the U.S. gross bookings growth rate of 7% and gross profit growth rate of 3% results mainly from 2 items. First and foremost, Q3 gross profit is negatively impacted by a $4.8 million reserve related to an unfavorable hotel margin tax judgment in Washington, D.C. Second, strong performance in retail airline tickets benefits gross bookings to a greater degree than gross profit. Operating leverage declined in the quarter but to a lesser degree than we assumed in our guidance. Non-GAAP operating income as a percentage of gross profit amounted to 55.9% for Q3 2012 compared to 58% for the prior year Q3. Margins were impacted mainly by deleverage in online advertising and personnel expense. Online advertising grew faster than gross profit due to the continued mix shift in our business to paid channels, as well as lower ROIs. While we have seen the trend of mix shift to paid channels impact our advertising efficiency for several quarters, we have recently also experienced pressure on ROIs. Although our advertising ROIs were lower compared to prior year, they were better than our guidance because the assumed deterioration in economic conditions did not occur. Personnel expense in Q3 includes a $13 million charge related to a reported one-time payroll tax that was imposed in the Netherlands in July. We do not expect the impact of this wage levy to be significant beyond Q3. We also continued, as planned, to invest in people, new offices, IT expenses and increased depreciation expense to support the growth of our business. Adjusted EBITDA for Q3 amounted to $781 million, which exceeded our guidance range of $690 million to $765 million and represents 21% growth versus prior year. Non-GAAP net income grew by 25%, including a lower year-over-year cash tax rate due to the Innovation Box Tax benefit in the Netherlands and a lower statutory tax rate in the U.K. In terms of cash flow, we generated approximately $675 million of cash from operations during third quarter 2012, which represents a 20% increase versus prior year. We spent about $11 million on CapEx in the quarter. As of September 30, 2012, our cash and investments totaling $4.7 billion are available for general corporate purposes, including share repurchases, acquisitions and debt repayment. Now for fourth quarter 2012 guidance. We are forecasting total gross bookings to grow about 21% to 28% and to grow on a local currency basis by approximately 22% to 29%, with U.S. gross bookings about flat with prior year. We expect international gross bookings expressed in U.S. dollars to grow about 27% to 35% and to grow on a local currency basis by approximately 28% to 36%. Our Q4 forecast assumes ADRs for our international hotel service will be down to a greater degree than in the third quarter, and ADRs for our U.S. hotel service will be up by about 5%. Our Q4 forecast assumes that foreign exchange rates remain at the same $1.30 per euro and $1.61 per British pound as yesterday's closing rates, which would result in average exchange rates that would be weaker by 4% for the euro and stronger by 2% for the British pound as compared to the prior year. We have hedged contracts in place to substantially shield our fourth quarter EBITDA and net earnings from any fluctuation in the euro or pound versus the dollar between now and the end of the quarter, but these hedges do not offset the impact of translation on our gross bookings, revenue, gross profit and operating income and do not hedge our earnings beyond the fourth quarter. We expect Q4 revenues to grow year-over-year by approximately 15% to 22% and gross profit dollars to grow by approximately 26% to 33%. We expect 400 bps to 500 bps of deleverage in non-GAAP operating income as a percentage of gross profit compared to prior year. We assume that margins in Q4 will be impacted by deleverage in online advertising expense due to business mix continuing to shift to paid channels, as well as continuing pressure on ROIs. We also intend to continue to invest in people, new offices, IT expenses and increased depreciation expense to support the growth of our business. Adjusted EBITDA is expected to range between $381 million and $421 million, which at the midpoint represents 17% growth versus prior year. We are targeting non-GAAP fully diluted EPS of approximately $6.12 to $6.57 per share, which at the midpoint represents 18% growth over prior year. Our EPS forecast reflects about $3 million of additional year-over-year cash interest expense for Q4 related to the convertible bonds we issued in March. Our non-GAAP EPS forecast includes an estimated cash income tax rate of approximately 15.6% comprised of international income taxes and alternative minimum tax and state income taxes in the U.S. This rate reflects the estimated fully phased-in impact of the Innovation Box Tax benefit in the Netherlands. Our non-GAAP EPS guidance assumes a fully diluted share count of 51.4 million shares based upon yesterday's closing stock price of $573.77. We forecast GAAP EPS of $5.39 to $5.84 per share for Q4. The difference between our GAAP and non-GAAP results is driven by non-GAAP adjustments that are detailed in our earnings release. As I mentioned a moment ago, the group delivered solid results in the back half of Q3, and that momentum has carried over thus far into Q4. Our guidance reflects actual results to date and reflects our expectation for sequentially naturally decelerating growth rates for a very large business comparing against high transaction growth rates. Our comp is particularly challenging in the latter half of the quarter because we experienced accelerating growth in the back half of Q4 2011. Although we still have very real concerns about economic conditions on a worldwide basis, and in Europe in particular, our forecast does not reflect any potential worsening in macroeconomic conditions. Our forecast does not assume any material change in macroeconomic conditions in general and conditions in the consumer or travel market in particular. Given the uncertainties surrounding worldwide economic conditions, particularly in Europe, where much of our business is concentrated, and the negative impact of Hurricane Sandy, we believe the variability around our guidance is elevated. We'll now take your questions.
Operator: [Operator Instructions] Our first question comes from Justin Post of Bank of America.
A. Justin Post - BofA Merrill Lynch, Research Division: One big picture maybe for Jeff and one quick one for Dan. Jeff, you've got 245,000 hotels on the platform; executed really well there. And just you're seeing some deceleration. Can you talk about where you are on the penetration as you look at your sales pipeline in hotels? And then the deceleration this year, would you say macro is driving a big chunk of that, or is that just large of law (sic) [law of large] numbers as you see it? And then, Dan, you gave us pretty good commentary last quarter about deceleration built into guidance for 3Q. It sounds like this quarter maybe a little less conservatism. Maybe you could give us a little more color on the relative conservatism or the rate of macro decline you expect into the guidance this quarter versus last.
Jeffery H. Boyd: Okay, Justin, I'll try to address the first question. The 245,000 hotels refers to Booking.com. And I think they've done an excellent job of building on the hotel platform at a pretty fast clip, 40-plus percent growth year-over-year. I've said in previous calls that in a lot of cases, we're adding non-hotel accommodations, and those properties often have lower room counts than some of the larger hotels. And so there's potentially a diminishing return as you continue to add hotels. But I think you can expect Booking.com and Agoda as well to continue to add properties to their list. Growth rates are driven, not just by adding new properties, although that's important, but also by driving greater penetration of existing hotels. And I think given the size of the business, that's equally important to a hotel count. So when you look at the business and the trends in unit growth, I'd point to not just new hotel counts but also to penetration of existing hotels, and then just to driving fundamental underlying demand, which is also an important driver of momentum in unit growth.
Daniel J. Finnegan: And in terms of guidance, Q3 relative to Q2, we did say, Justin, in Q2 that we had built a specific additional level of conservatism into our forecast, which at the time, we were hoping was going to be conservatism, but was really just based upon the fact that we had seen significant deceleration, and we had seen the weakness that we had seen for a while in Southern Europe spreading to other markets across Europe. We’ve highlighted the U.K. This quarter, we were pleased that the back half of Q3 ended up being pretty solid. And the results to date in Q4, I would say, are solid. And so we have built some deceleration in there, which is more just our natural expectation that a business this size is going to decelerate over time and then reflects the difficult comp we've got in the latter half of the quarter. But we did not build any specific additional deceleration in relative to concerns over macroeconomic conditions.
Operator: Our next question comes from Brian Fitzgerald of Jefferies.
Brian Patrick Fitzgerald - Jefferies & Company, Inc., Research Division: I want to know if we can get an update on mobile, usage trends you're seeing around that for your mobile apps, and maybe what percentage of mobile traffic is transactional versus just comparison shopping or browsing.
Jeffery H. Boyd: We are seeing rapid growth of business moving to mobile. We haven't released any specific share percentages, but you've seen some of that in the marketplace by our competition, and I think that could give you a directional idea of where we are in the United States in particular. There's some variability by region. Our teams around the world are working very hard to innovate on the new platforms with apps and upgrades to the mobile web. We're also looking, from the ground up, at our desktop functionality and user experience so that it's optimized for browsing on tablets. It's a very important channel shift that we're seeing in this space, and it's giving us an opportunity to offer some new products to our customers. And priceline.com released an app recently that's got some new features on it that we think are very interesting and attractive, called Express Deals Pro. That's the kind of testing you can do on mobile platforms and see what the consumer experience is. So we continue to be very excited about it, and it's one of our primary areas for resources and investment because we think it gives us a great opportunity, having the back end that we have, to really lead the market in building the best front-end applications for the consumer.
Operator: Our next question comes from Anthony DiClemente of Barclays.
Anthony J. DiClemente - Barclays Capital, Research Division: Dan, just in terms of the deleveraging on online advertising and the continued shift to paid channels, you mentioned the pressure on ROI. Just -- if you could just elaborate on what you're seeing there in terms of advertising and your strategy, what you're seeing and what you're trying to do, and maybe speak to SCM trends a little bit. And then one second question, if I may. Just noticed that you hadn’t bought back stock, and wondering if you can remind us your criteria for looking at share repurchases. Yes, I think you did mention that as -- in your prepared remarks, or alluded to it. Could you just talk about your kind of line of thinking on stock buybacks?
Daniel J. Finnegan: Of course. So in terms of online advertising and its impact on deleverage, we've seen for several quarters a continuing trend where the mix of our business is shifting more to paid channels, and that's just the way people are choosing to access the Internet and find our website. So we are pleased to participate in that in an effective fashion and then it’s been a very important driver of demand for our websites. We saw this past quarters a deterioration in trends year-over-year in terms of advertising ROI so a fundamental efficiency for our brands. We don't get into a lot of the specifics behind that, but you know the drivers are ADRs and year-over-year cancel rates. We've talked from time-to-time and we give a specific guidance on ADRs, that those are down in Q3 year-over-year, and we're expecting them to be down further in Q4. So that's not helpful to unit economics. Cancel rates have been climbing for a while. It's -- one of the benefits of our model for Booking.com is that it's an agency model, and it's easy for a customer to cancel if their plans change. So we don't look at that as a net negative as long as our gross bookings growth rate net of cancels continues to climb at an attractive rate. And the other factors we've built into that in terms of CPC and conversion rates are more sensitive competitively, and so we don't speak to what we're seeing there, but those are the other factors that go into that equation. In terms of a stock repurchase, we have about $460 million authorized by our board that we can use to buy back stock. We did buyback in the first quarter of this year about $250 million, if I recall correctly; it's in our Q. And we continue to look from time-to-time, and we will buy back stock where we think there's an opportunity to do so at attractive prices.
Operator: Our next question comes from Douglas Anmuth of JPMorgan.
Douglas Anmuth - JP Morgan Chase & Co, Research Division: Just want to follow up on the question about the 4Q investments. And I guess just focusing on a little bit trying to understand given the mix shift in the business toward more paid channels if you still expect to expand margins on an overall basis for the company going forward, whether you think this mix shift more toward newer markets and paid channels will perhaps really inhibit that going forward. And then just on the 4Q international ADRs, you talked about them being down more than in 3Q. Is that -- can you help us just understand is that just a function more of the current trend or perhaps a mix shift of geographies that you see in the fourth quarter specifically?
Jeffery H. Boyd: Okay. Doug, I'll do the first one, and maybe Dan can do the second one. We look at our business as having, on an absolute and a relative basis, very attractive operating margins. And we've had a great opportunity and good execution over the last several years to see some pretty good growth on those margins. But we are looking at a lot of very attractive opportunities in the marketplace today. We're looking at a very competitive marketplace. And our outlook is that we really should focus on making investments where we need to, where we think the long-term return on those investments will drive growth in the business and help us gain market share and build our franchises, and that we shouldn't feel limited in making those investments because they could, in the near term, have a negative impact on operating margins. And there's a very wide spectrum of approaches that companies in our space make to this issue. There are some outstanding companies who operate on very, very narrow margins and throw everything back into the business. That hasn't been our approach. And if you look at the other travel companies, online travel companies that we compete with, they generally are investing in their businesses at a much higher level than we are. And I think our long-term outlook is that we should be able to substantially invest in the business and have very, very attractive operating margins, but we're not going to forego important investments, for example, on things like mobile, just because we think, in the near term, that they're going to have a negative impact on operating margins.
Daniel J. Finnegan: And in terms of ADRs in Q4, it reflects the trend that we're seeing market-by-market, and the trend varies market to market. And it also reflects the mix in the business. So Asia-Pacific growing at a faster rate overall than other regions and typically at lower ADRs would have an impact of driving down that overall growth rate.
Operator: Our next question comes from Michael Millman of Millman Research.
Michael Millman - Millman Research Associates: You talked about rental cars increases. Could you give us some breakdown as regarding to fourth [ph] quarter [ph], as far as to what extent price may have pushed up volume or availability was better or marketing? And in regard to the market, you indicated that at the leases ended the third quarter better than you expected, particularly in the U.K. Is there some suggestion that you might be seeing a bottoming of the [indiscernible] economy outside the U.S. or at least a bottoming of the impact of that economy on travel?
Daniel J. Finnegan: In terms of our rental car business, Michael, we saw retail pricing continuing to be down in kind of the mid single-digit range here in the U.S. and internationally. I think that has a function of helping drive retail volume. It's not as helpful to our Name Your Own Price business, but we did see relatively less pressure in terms of discounted availability this quarter than last quarter, but we still did have a decrease in that business year-over-year.
Jeffery H. Boyd: And Michael, I wouldn't go out on a limb and say that the trends that we're seeing in the U.K. potentially would represent a bottoming with respect to their overall economy. And the reason I wouldn't do that is that during this summer, there was just an awful lot of things that could potentially have impacted travel trends in the U.K.: The Queen's Jubilee; the Olympics; soccer tournaments. And while it's impossible for us to really know the degree to which any of those things had an impact, just the timing of the softness that we saw in the U.K. and then the firming of the business in the U.K. leads me to believe that there may have been some impact in that one market of all of those things, and that’s not really a statement about the broader economy.
Operator: Our next question comes from Herman Leung of Susquehanna.
Herman Leung - Susquehanna Financial Group, LLLP, Research Division: Two quick questions. First is on, I guess, a follow-on to the guidance question. If you -- when you look into the fourth quarter, can you talk about the seasonality that some of the Asia mix shift can have on the fourth quarter and how that typically looks on a seasonal basis relative to European room night trends? And the second question is you talked about marketing deleverage and some investments going on in the business. Just wondering if you can talk about repeat rates in the core organic. I guess it sounds like that's probably flat to down, so can we -- I mean, are there ideas or areas you're working on to help drive that rate higher and areas you are basically -- specific regions you're investing in the marketing side?
Jeffery H. Boyd: So your first question about seasonality and whether the business in Asia and the southern hemisphere will have an impact on Q4, well, I'll let Dan cover that one, and I'll do the second.
Daniel J. Finnegan: Okay, and so seasonality in Q4. Q4 is seasonally a more important quarter of the year for our Asia-Pacific business, certainly relative to U.S. and Europe, which have their peak season in Q2 and Q3. So you do see somewhat of an impact in that those businesses represent a relatively larger percentage of our business in that quarter. But you know, we talked about last quarter, Europe, 60% of our business. That doesn't change that dramatically, but you're going to see this to any greater extent than what we have indicated in our guidance.
Jeffery H. Boyd: And with respect to marketing deleverage. Our efforts around marketing in general are always aimed at trying to drive loyal customers. And I wouldn't attribute the guidance for reduced operating leverage to concern about repeat rates and customer return rates because we track those and they're in good shape. You have a business that’s the size of our business that’s growing as rapidly as our business is, it requires very substantial inflows of new customers even if you have outstanding repeat rates to drive that growth. There definitely is a regional impact to marketing efficiencies. Some regions are more efficient and effective than others. Some regions are more competitive, as Dan mentioned, Asia-Pacific, Asia in particular tends to have lower ADRs. That can create challenges in terms of variable marketing expenses and online channels. But suffice it to say, we look at attractive regions like Asia. We look at relatively new distribution channels that we think are going to grow and where we know we have that leading position, and we're prepared to push marketing dollars in those directions even if the net result of that on a global basis is to put pressure on our ROIs just because we know that we need to build scale in those channels, and ultimately, we think if we can put our product in front of new customers in those channels that will drive repeat business over the long term.
Operator: Our next question comes from Heath Terry of Goldman Sachs.
Heath P. Terry - Goldman Sachs Group Inc., Research Division: I was hoping -- to what degree the function of less traffic coming from -- or more traffic coming from paid channels, how much of that is a function of you seeing less traffic from free channels, whether it's organic search, brand-driven, direct URL, mobile? And within that, the paid channel side of it, is the declining ROI that you're seeing a function of higher prices per clicks, or is it -- that's being driven by competition, or is it the decline that you're seeing in the conversion rates that you would attribute to potentially being macro-related?
Jeffery H. Boyd: So if you look at the business by various channels, there's no question that there's been a shift, a continuing shift of shares online. As Dan mentioned, a big part of that is the businesses that rely more heavily on online are growing faster than the U.S. business, which tends to have less reliance on online. So that's just the -- that's the math of it and it doesn't really have anything to do with the balance of free versus paid traffic. Now there's no question that some of the things that are happening out there in the marketplace and some of the major Pay-Per-Click channels is tending to do a very good job of taking traffic that used to come free through organic search and have that traffic now be paid for through paid search. And that's -- if you look at a lot of the changes that have been made by the major search engines, that's been an effort on their part. And I think they're doing that because they believe it drives a good customer experience, but also it's obviously helpful to their financial situation. And from our perspective, we're comfortable with it as long as the ROIs and conversion in those products are attractive, which they have been and are for us. We -- as Dan said earlier, we can't get into a discussion about what CPCs are and what conversion is because those really are going to be primarily driven by actions that we're taking in the marketplace to be relatively more aggressive, less aggressive, what channels we're in, et cetera. And so we just don't comment on that publicly because it gives people a heads-up as to what we're doing competitively.
Operator: Our next question comes from Brian Nowak of Nomura.
Brian Nowak - Nomura Securities Co. Ltd., Research Division: I’ve got 2. The first one is kind of curious to hear more about kind of share gains in competition and whether or not you still feel confident you're taking share within the OTA hotel channel in your major markets. And then the second one, I think last quarter you guys helped us out and kind of gave us 30% growth in Europe and 50% growth in rest of world. Just kind of curious about roughly how those comparable figures looked in this quarter.
Jeffery H. Boyd: Okay Brian, with respect to share gains, we -- based on the information that's public as of today that we're aware of, we look at our growth rates, and they're faster than our competition so I think we continue to gain share. We look at the various distribution channels that we are active in. And I think we're doing well from a share perspective in those channels. There are some channels that our competition is more aggressive in and I think assigns a higher strategic value to them than maybe we do. And the example I would give you is in sort of in the white label affiliate business. Both Expedia and Orbitz put a lot of effort into that and are very aggressive in going after that business and do a very good job of it. And it's possible that they've gotten some affiliate business that we're not getting. And so that I think is derived from business decisions that they've made and we've made with our eyes open as to what -- how we value, relatively, the business from that channel. But I think our businesses are performing very well. Having said that, I would also say that we operate in a very attractive space with a lot of running room. And as our competition executes better, there's room for their businesses to perform well. And Expedia had a good quarter, and their growth rate accelerated. And as you look at our growth rates and if you look at how we're behaving competitively in the marketplace, I think it would be disingenuous to say that there was no impact on us. I think we're both competing very aggressively with each other. And I think you have 2 companies that are executing pretty well right now.
Daniel J. Finnegan: And in terms of our regional growth, we gave that last quarter, Brian, just because we wanted to give you guys color because we had such concern about what was going on in Europe from an economic perspective. To just give -- have a little bit more information to do your own modeling, we're not going to typically provide that level of detail, but you can see the level of deceleration overall was modest. And we pointed to conditions in Europe being stable so you can assume there wasn't a dramatic change in trajectory there.
Operator: Our next question comes from Stephen Ju of Crédit Suisse.
Stephen Ju - Crédit Suisse AG, Research Division: Jeff, you mentioned greater penetration of existing hotels as a driver for unit growth. Is there anything you can share in terms of how much access you think you have to the overall inventory on a percentage basis and how much room there might be to grow that?
Jeffery H. Boyd: Yes, we do track what our estimated share is of the hotel inventory. That's not a number that we publish, but I do believe we have -- if you look at the totality of the inventory, there's substantial headroom for us to grow our business with existing hotels, as well as the opportunity to add new supply and grow there.
Operator: Our next question comes from Ross Sandler of Deutsche Bank.
Ross Sandler - Deutsche Bank AG, Research Division: Two questions. So Jeff, you just mentioned the private label in the affiliate channel. I think you guys have done private label deals in the past with Ryanair and you have one with CTRIP. So what criteria do you need to see to go into something like Kayak's hotel path or other opportunities that may present themselves? And then just a follow-up on the ROIs question. Which regions are you seeing the lower ROI or decreasing ROI between Europe and your emerging markets?
Jeffery H. Boyd: So Ross, the -- I answer the second question first. I'm just not going to give regional detail on how marketing is performing. With respect to affiliate criteria, I'd say a couple of very broad things. The first is that we would tend to value more highly a branded affiliate that has its own product offering and something that customers are coming to the website for reasons that are independent and they have their own loyal customers. That's something that we would tend to value more highly than, for example, a website that doesn't have a substantial brand and relies primarily on Pay-Per-Click marketing where they'd be competing with us in the same channel, or search engine optimization kind of business. So those would be 2 contrasting types of affiliates, one which we would assign a little bit of a higher value to and one which we would assign a much lower value to. The second thing I would say is that our approach on that is also driven by our view of what the appropriate economics are for affiliate-type business. Our competition for certain affiliates might be much more aggressive pricing the business to affiliates where we might think we've got a pretty good chance of getting bookings directly to our sites, where we have big market share and not necessarily have to take inventory, which is in potentially short supply in high season and provide that to an affiliate for them to sell it and confer most of the economics to them. So those are 2 sorts of differences that you might find between us and our competition.
Operator: Our next question comes from Kevin Kopelman of Cowen and Company.
Kevin Kopelman - Cowen and Company, LLC, Research Division: You mentioned that the UK picked up, but some of the events in the quarter may have had an impact there. Can you just give us an update what you're seeing quarter-to-date in the UK?
Daniel J. Finnegan: Well, the situation has been stable in Q4 so far. We're pleased with the growth rate that we posted so far to date. And I think our forecast just reflects kind of natural level of deceleration given the size of the business. But we didn't call out anything specific that we’ve seen a change in trend there.
Operator: Our next question comes from Naved Khan of Jefferies.
Naved Khan - Jefferies & Company, Inc., Research Division: Jeff, can you comment on the performance of the Google Hotel Finder product and how it's performing for you guys?
Jeffery H. Boyd: Sure. We participate in Google Hotel Finder with a number of our brands. So far, it has not become a very substantial part of the business that we do with Google. And I think that's based on the way they've decided to drive traffic to it. That doesn't mean it couldn't grow in the future. We're satisfied with the performance we've seen. I think our products display well there. And I think we've done a good job of building the technology there effectively in a grade and display well in that marketplace.
Naved Khan - Jefferies & Company, Inc., Research Division: Okay. And then when do you expect the distribution relationship with CTRIP to be fully ramped up?
Jeffery H. Boyd: I can't give you a specific forecast of when it, "would be fully ramped up." Our expectation is to continue to work with CTRIP to not only optimize the offering, but to capitalize over the long term in what I think most people believe will be a rapidly growing demand for Chinese nationals to travel overseas. So I would hope that there is a long runway of sort of fundamental growth for that business that we could participate in through our relationship with CTRIP.
Operator: And our final question comes from Tracy Young of Evercore Partners.
Tracy B. Young - Evercore Partners Inc., Research Division: Two questions, if I may. First question is on the tax rate. Your tax rate came in lower than I expected. And just wondering -- you went through some of the drivers, but I'm just wondering if it'll get back to 20% or 21% for fourth quarter. And also, great to see that you’re stabilized in the second half of the quarter. Do you see the same kind of performance into October?
Daniel J. Finnegan: Okay. In terms of the tax rate, Tracy, we're guiding towards a cash tax rate of 15.6% in Q4. And in terms of performance thus far in Q4, it's been stable to date. And we said we're expecting deceleration of the business given the size of the business and a difficult comp in December, but we haven't built in any specific conservatism related to concerns over macroeconomic conditions. You know we still have them; they just haven't manifested themselves to the extent we were concerned they might in the back half of Q3, and thus far in Q4.
Operator: And as there are no further questions in queue, gentlemen, are there any closing remarks?
Jeffery H. Boyd: Thank you very much for participating in the call.
Operator: Ladies and gentlemen, this does conclude your program. Thank you for your participation, and have a wonderful day. You may disconnect your lines at this time.